Operator: Good day ladies and gentlemen and welcome to the Providence Services Corporation Q4 2015 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder this conference call is being recorded. I would now like to introduce your host for today's conference Mr. Bryan Wong. Sir, you may begin.
Bryan Wong: Good morning everyone and thank you for joining us today for Providence's conference call and webcast to discuss financial results for the fourth quarter and year ended December 31, 2015. On the call from Providence today is Jim Lindstrom, CEO and David Shackelton, Chief Financial Officer. Before we begin, please note that we have arranged for a replay of this call. This replay will be available approximately one hour after today's call and will remain available until March 18th. The replay number is 855-859-2056 or 404-537-3406 with the passcode 63053175. This call is also being webcasted live with a replay available. To access the webcast, go to our website at www.prscholdings.com and look under the Event Calendar on the Investor Information tab. Before we start, I'd like to remind everyone of the Safe Harbor statements included in our press release, and that the cautionary statements apply to today's conference call as well. During the course of this call, the company may make projections or other forward-looking statements regarding future events or the company's beliefs about its financial results for 2016 and beyond. We wish to caution you that such statements are just predictions, and involve risks and uncertainties. Actual results may differ materially. Factors which may affect actual results are detailed in the company's recent filings with the SEC including the company's Annual Report on Form 10-K for the year ended December 31, 2014 and subsequent filings. The company's forward-looking statements are subject to change and are based on current expectations that involve a number of known and unknown risks, uncertainties, and other factors which may cause actual events to be materially different from those expressed or implied by such forward-looking statements. These statements speak only as of the date of this webcast, March 11, 2016. The company is under no obligation to and expressly disclaims any such obligation to update any of the information presented if any forward-looking statement later turns out to be inaccurate, whether as a result of new information, future events, or otherwise. In addition to the financial results prepared in accordance with Generally Accepted Accounting Principles or GAAP stated in the press release and provided throughout our call today, the company has also provided EBITDA, and adjusted EBITDA, non-GAAP measurements. EBITDA and adjusted EBITDA measures discussed are measurements not determined in accordance with or an alternative for GAAP, and may be different from non-GAAP measures used by some companies. A definition, calculation, and reconciliation to the most comparable GAAP measures for EBITDA and adjusted EBITDA can be found in our press release and in our current report on Form 8-K filed with the SEC on March 10, 2016. The items excluded or included in the non-GAAP measures pertain to certain items that are considered to be material, so that the inclusion or exclusion of the items would in management's belief enhance a reader's ability to measure overall operating performance and to compare the results of the company's business after excluding or including these items with other companies within its industry. Finally, for simplicity, we would be speaking in U.S. dollars when referring to such things as contracts and revenues. Amounts translated from other currencies, including the British pound have been translated at the exchange rates in effect for the corresponding time period. As such, these amounts may differ in future periods. I'd like to now turn the call over to the CEO of Providence, Jim Lindstrom.
James M. Lindstrom: Good morning everybody and thank you for joining today's call. I will start with a strategic review before handing it over to David to review the financials. Our quarter kicked off with the closing of the sale of Providence Human Services for $230.7 billion. With the proceeds we chose to deploy most towards repaying debt and the rest towards the $70 million repurchase program instead of pursuing one of the over 100 potential acquisitions that came across our desks last year. Moving beyond capital allocation I spent the remainder of the quarter speaking with industry experts, clients, and colleagues to further refine our strategy on two fronts; U.S. healthcare and global workforce development, from forefronts where vertical is 12 months ago. We also focused on an in depth budget and operational improvement process with our vertical teams. Our over arching goal for this refined focus and much less noisy financials in 2016 to enable U.S. investors a much simpler and transparent look into the cash flow potential per share as we progress through the year. In 2016 you will see a renewed focus on the U.S. healthcare services market. Particularly around those outsourced services serving the home or community with the aging populations, improved technologies, and a renewed focus on outcomes, providing services that foster home health and independent living is integral to lowering cost. Many talk about population health and chronic care these days, and while we don’t call ourselves top health company, we offer parts of the infrastructure necessary for these companies to be effective. We are focused in on filling in additional service offerings that can support the strength over the next few years. To that end HA Services or Matrix launched its CareDirect offering which provides in-home care to chronic care patients. With our 800 nurse practitioners and growing base of additional support staff we are well positioned to attack the chronic care challenge. While CareDirect generates significant revenues over the next few years, please keep in mind that the revenues were minimal in 2015. In fact pro forma revenue growth was shy of 3%. Behind the expectations communicated to you at the time of the acquisition in 2014. This was primarily due to lower than expected volumes for one of Matrix's largest clients which is particularly felt in the second half of 2015. Outside of this client, which will be under 20% of our volumes in 2016, we experienced over 20% volume growth. Looking forward we intend to improve our growth rate closer to the estimates communicated to you in 2014, closer to the 8% to 10% range. This will be challenging but we will attack on a few fronts. First, we expect our CareDirect initiative to increase due to the success of our 2015 pilot programs. Second, for our risk assessment clients our offerings now include commercial, pediatric, and managed Medicaid assessments. Third, we will continue to improve our IT capabilities which improve client response rates and volumes. To also drive growth, we have recently added two new VPs of sales and are adding a new Chief Growth Officer, resulting in a growing pipeline of both chronic care and our four core offering. With improved growth and solid profitability margins, our initial 2014 investment pieces and this approximately $400 million acquisition remains largely intact. Next NET services and LogistiCare exceeded several internal expectations with 22.5% growth in 2015. This was largely driven by population expansion, new contracts, and rate adjustments. LogistiCare covered 24.8 million lives and managed 64.9 million lives in 2015 versus 56.3 million in 2014. Supporting this growth were investments in IT, mobile apps and our proprietary LogistiCAD software. We added MCO clients in California, Louisiana, Ohio, Michigan, New York and Texas. For those of you who did not see the news a few weeks ago, unfortunately our contract with South Carolina was awarded to a competitor in the recent RFP process. We have protested the award and for now the state has stayed the award pending the outcome of the protest. The South Carolina has recently changed its protest process, the timing for resolving the protest is unclear. But if unsuccessful, we anticipate the contract transitioning in late Q3 or Q4, and since the award is in the protest stage we will not be able to comment on it further. With regards to our New Jersey and Missouri contracts, the RFPs have been released and we anticipate submitting our responses this month. We do not know how long it will take to hear back from either state on the outcome, but we are aggressively working to retain these contracts. As we look forward the non-emergency transportation industry is changing on two fronts. First, as previously mentioned, many states are outsourcing their Medicaid programs, including transportation to MCOs which has increased service expectations. Second, and partially in response for the movement towards the MCOs, strong IT capabilities are necessary for data and analytics to support improved service and outcomes while reducing cost. These need to provide not only a challenge to the industry but also an opportunity for those with scale, capital, and talent. So while our IT and process improvements started years ago, we're ramping up our intensity led by our new Chief Operating Officer and Chief Information Officer, both of whom have extensive experience in logistics and contact centre environments. They’ve completed an initial framework to improve the efficiency of our transportation network, reengineer key workflow processes, leverage new technology tools, and drive service capability improvements for our over 3,500 NET associates. While many of these initiatives will take 6 to 18 months, we're confident that the investment will improve our efficiency and client service. Moving on to workforce development, we made solid progress in 2015 with the implementation of three major programs and continued to strengthen a few other areas. The first of these major programs lies with the reducing reoffending partnership, RRP, which was created to transform an existing largely face-to-face probationary model operating under the Ministry of Justice to a multifaceted technology enabled service, analogous to other Ingeus delivery model transformations. The transition work is scheduled to be significantly completed by mid-2016 resulting in losses in Q1 2016 before turning profitable in the second half. This is a seven-year contract and with our solid performance to date our lifetime model of the contract is still in line with our initial expectations. Second, Mission Providence launched a five-year employment services contract in 2015. To date six out of our eight regions are operating with key operational ratings in the top or second tier out or five tiers. Despite that solid showing, our lifetime model of the contract is behind our initial expectations due to slower-than-anticipated volumes in late 2015 and in early 2016. We are reacting with increased focus and are cognizant that the model can change, particularly if the unemployment outlook changes in Australia. Finally our third set of new programs were with France’s [indiscernible] two of which were awarded in 2015. We found this with another major contract win in France in Q1 2016. These partnerships require significant investments in IT, personnel, recruitment and redundancy costs, and premises built-outs. However, combined with continued strong UK work program performance versus our competitors and leading positions across several countries Ingeus continues to be a global leader in delivering innovative employment services to the private sector and government agencies. With this leadership position we expected this 2014 $87 million acquisition will provide attractive IRRs in the next few years. In 2016 the Ingeus team is focused on execution within its three primary partnerships and programs and improving the operations in the rest of its portfolio. Beyond the existing portfolio we will be strategically expanding Ingeus beyond its core employment services offering. We have established or establishing partnerships that incorporates skills and vocational training in health and well being management. Which we anticipate will become a greater value to our governmental agency and private partners in the years to come. I will now hand it over to David.
David Shackelton: Thank you, Jim. Q4 revenue came in at approximately 425 million, an increase the 15% over Q4 of last year. Assuming that we had owned Matrix for all of Q4 2014, pro forma revenue growth for the quarter was strong 10%. Adjusted EBITDA in Q4 2015 was 21.9 million compared to 24.6 million in 2014. As I will touch on later, this decline was driven by continued new program investment within WD services, specifically Mission Providence in France. For the year revenue increased by almost 50% to 1.7 billion. On pro forma basis assuming both the Ingeus and Matrix acquisitions were made at the beginning of 2014, revenue increased by an impressive 16%. Adjusted EBITDA in 2015 was 103.5 million. In 2015 we generated a loss from continuing operations net of tax of 18.6 million or $1.45 per share. When discussing these segments I’ll speak further to the factors within WD services largely transaction and restructuring in nature that drove this result. Adjusted net income which backs up transaction and restructuring related cost came in at positive 41.2 million or $2.03 per share. On the cash flow side CAPEX was 35 million, at the low end of our expectations as WD services eliminated certain new project related CAPEX and pushed some CAPEX into 2016. Also impacting cash flow was an investment into working capital, specifically AR which was driven primarily by significant year-over-year revenue growth and higher DSOs at NET Services. In terms of our capital structure -- revenues the proceeds from sale of human services to pay down our revolver, we view ourselves as being under-levered and well positioned to continue to opportunistically repurchase shares or execute small acquisitions. Moving into segment results, NET Services increased revenues by 22.5% in 2015 surpassing $1 billion in sales driven by new state and MCO contracts as well as increased membership and pricing in certain markets. Adjusted EBITDA was 80.7 million representing a 7.4% adjusted EBITDA margin. As discussed on previous earnings calls NET Services saw margin contraction from historically high levels in 2014 due primarily to Medicaid expansion populations becoming more familiar with our transportation benefit. At HA Services revenue increased to 217.4 million in 2015. On a pro forma basis, assuming Matrix had been owned for all of 2014 this represents 2.9% revenue growth. Adjusted EBITDA to HA Services was 51.6 million representing an impressive higher than anticipated margin of 23.7%. This margin was realized despite being burdened by 2.1 million expense related to payments made out of a $5 million ESCROW account to fund at the time of Matrix acquisition to key employees that remained with the company after the acquisition. Also as you can see from our press release, Q4 revenue on a pro forma basis was down versus the prior year. This was due to the phasing of revenue in 2015 compared to 2014. As we’ve spoken about previously HA Services successfully pulled forward volumes in first half of the year in 2015 resulting in a more consistent phasing across quarters than was experienced in 2014. At WD services revenue increased to 395.1 million. On a pro forma basis assuming WD services have been owned for all of 2014, this represents 9.4% revenue growth. This growth was driven by the segments new offender rehabilitation program. Adjusted EBITDA at WD services in 2015.was negative 3.2 million in 2015 which included approximately negative $60 million of EBITDA associated with new contracts and programs including 13.6 million for Mission Providence and approximately $2.5 million for new contracts in France. This negative EBITDA impact associated with new programs and contracts was below the $20 million to $25 million range communicated to you on our last earnings call, primarily due to the delay of certain costs associated with our new offender rehabilitation program from 2015 into Q1, 2016. This delay isn’t impacting volumes or revenue but rather the timing of our redesign of the delivery process for our probation services. WD Services adjusted EBITDA also includes approximately $250,000 of costs to wind down the segments operations in Sweden. Added back in the calculation of adjusted EBITDA but included in the loss from continuing operations, our number of expenses at WD services that we consider to be transaction and restructuring related. These expenses include $26.8 million related to restricted shares and cash placed into ESCROW at the time of the Ingeus acquisition. Until the fourth quarter of 2015, we have been expensing the shares and cash over to ESCROW’s four-year term as two sellers in Ingeus including the founder remain executives post acquisition. In fourth quarter these two executives separated from the company triggering $20.9 million of expense in Q4. WD services transaction and restructure-related expenses in 2015 also included $12.2 million of redundancy expenses of which $9.6 million were recognized in the fourth quarter. A good portion of these redundancy costs are related to a new offender rehabilitation program we began in 2015. These headcount reductions are part of the transformative initiatives outlined in our original bid for the program and related to the redesign of our probation services delivery. Lastly, WD Services’ transaction and restructuring related cost include a further $2.4 million of acquisition related expenses. At corporate, adjusted EBITDA was fairly consistent year-over-year at approximately negative $25 million. Given 2015 included higher accounting and compliance fees related to bringing both the Ingeus and Matrix acquisitions into our internal accounting and control environment, we expect to be able to take $2 million to $3 million of corporate costs in 2016. Lastly, I’d like to speak briefly about expected 2016 performance. While I won’t be providing official guidance, I’ll direct you towards the three-year revenue CAGRs I provided during our Analyst Day in September. For NET we indicated 5% to 7% as being a reasonable three-year revenue growth CAGR. Given our current portfolio of contracts and expectations around future bids, we believe this to be realistic. In terms of margins we don’t expect to see the same level of declines in 2016 as we saw in 2015 or rather a flatter margin trend. As Jim mentioned, NET services is ramping up its intensity on IT and process improvements. These improvements will take some time to play into the financial results and can take the form of increased revenues as a lower cost structure makes us more -– a more competitive bidder or higher margins on a lower level of revenue growth. For HA Services, we are still targeting a three-year revenue growth CAGR of 8% to 10%. This level of growth for 2016 however, isn’t guaranteed as our customers are still setting their assessment plans for the year, and as experienced in 2015 with a large customer, clients modify their volume requests throughout the year. That said, the HA Services team has done a great job of building a robust pipeline across the Medicaid, Medicare, and commercial assessment markets as well as with their CareDirect offering. In terms of margin, we're expecting another strong year as pricing pressures as with the case of 2015 continues to abate. Operational improvements initiatives continue in greater volume as to our economies of scale. For WD services we also see the zero to 3% three-year revenue CAGR described at the Analyst Day to be a realistic and supported by our revenue expectations for 2016. It is important to note that this 0% to 3% revenue growth is calculated assuming consolidation of WD services 75% share of Mission Providence’s revenue. Because we calculate adjusted EBITDA including our 75% share of Mission Providence’s EBITDA, we do the same internally when we look at revenue so as to better track margin trends. However, as previously discussed the success of WD services over the next three years is much more tied to improving EBITDA margins and our revenue growth. Starting in the beginning of 2015, WD services embarked upon an investment phase in a handful of new programs and contracts. We currently expect WD services to largely exit this investment phase sometime in Q2, 2016. Thus while we expect full year adjusted EBITDA margins to be in the mid-single digit range, we anticipate negative EBITDA at WD services in Q1 resulting from new contract and program EBITDA losses of approximately $10 million, the majority of which relates to the cost of our offender rehabilitation program that were pushed from 2015 into Q1, 2016. The expected abatement of EBITDA losses associated with new programs and contracts in Q2 as well as the operational improvement we’re seeing on existing contracts for example on our skills contracts results in our expectation of mid single-digit EBITDA margins in 2016. On the cash flow side in 2016 we expect CAPEX to be approximately $30 million to $40 million. This was above our expectations from a couple of months ago as WD services pushed new program related CAPEX from 2015 into 2016 and WD services experienced additional small contract wins in France and the UK. On a consolidated basis we view over 50% of this CAPEX spend in 2016 as being tied to new programs and contracts as well as specific operational improvement initiatives at NET Services and HA Services. On working capital in 2016 we don’t expect to see AR continue to build in a way similar to 2015 which should be a large benefit to cash flow. On taxes after adjusting for the impact of WD services equity investment in Mission Providence, we expect to return to a more normalized rate in 2016 of 42%. For 2015 despite posting a loss from continuing ops, we recognized -– we have recorded a tax provision primarily due to the non-deductibility a significant portion of WD services transaction and restructuring related expenses. And on interest expense in 2016, excluding the impact of additional draws on our revolver to fund further share repurchases, we expect to be around $15 million. Heading into 2016 we feel well positioned to build upon the numerous operational and strategic milestones at each of our segments achieved in 2015. With that I’ll turn the call back over to Jim.
James M. Lindstrom: Great, thank you David for explaining a quarter and a year with a fair bit of noise in it. We’ll now open it up for just a few questions and just want you to know that Dave and I will certainly be available today and over the next few days if anyone has any additional questions. So operator?
Operator: [Operator Instructions]. Our first question comes from the line of Bob Labick from CJS Securities, your line is now open.
Robert Labick: Good morning. Congratulations on a nice quarter.
James M. Lindstrom: Great, thank you. Thanks Bob.
Robert Labick: Right, so thanks for all the color you just gave. I wanted to just clarify a little or maybe just follow up on probably the last couple of comments on WD services to start, it sounds like just timing of start up expenses of RRP are kind of the big change there, everything else seems on track. Can you talk a little bit about just your visibility that this will all end in the first half and is it that just expenses falling off, revenues are kind of constant, or how should we think about it from the outside because it is hard to see all of the moving parts beneath the numbers?
David Shackelton: Yes I think you should -– your comment about expenses falling off is largely true for the RRP contract. On the Mission Providence contract we’re still continuing to see revenue and volumes drop, so a combination of both.
Robert Labick: Got it, okay, great. And then just jumping over to Matrix, you talked a little bit about some headwinds from one account and then winning a bunch of other accounts, can you talk about how you go out and are you getting those new accounts and your confidence in that growth is it population within -– is it new accounts population within the other accounts that you have new test or what are the primary drivers there for the next couple of years?
James M. Lindstrom: So as we look into 2016 a lot of our growth is coming from existing accounts or should have blue sky and new accounts is fairly minimal in terms of how we budget. And then the budgeting process was really completed in October-November and I think since then that’s really when we really ramped up our sales capability investments, so we’ve added two new sales people I’d mentioned and we are about to name a new Chief Growth Officer. And so the formalization of that pipeline really has just ramped up and so the targets on that list is I think is growing every day. Right now, its north of 90 targets. So, I think we feel that in the past it’s been more inbound calls and growth from existing clients. I think -- we think we will continue to see that going forward but I think we feel pretty strongly that our new sales force or expanded sales force will be able to bring in a lot of new labels.
Robert Labick: Okay, great. And then just jumping to the LogistiCare real quick, I understand you're protesting South Carolina’s, you may or may not be able to say too much about this, but can you just give us the history potentially there, because this -– if I'm remembering correctly, it sounds like, I don’t remember what it was five years ago or so you guys were competing for multiple regions, the competitor came in and underbid you, one, two out of three, and then within six months you guys were handed back the entire state because that competitor couldn’t perform. Am I remembering that correctly, is there anything about this that might be similar to what happened in the past, or what more can you say for it?
James M. Lindstrom: We really can’t say too much about it at this point, I apologize, just because we're in protest stage.
Robert Labick: Okay, no problem, I figured I would try. And relating to the growth in MCO and the shift towards reconciliation contracts, I think we talked about it a little bit on the last call, can you just remind us the economics there, it sounds like that’s part of the working capital build that we saw in 2015, but the risk profile seems to be a little bit lower on reconciliation contract as well, am I remembering that correctly?
David Shackelton: So on reconciliation contracts you aren’t as much at risk as you are on fully capitated contracts. And so you could consider that to be a little bit lower risk and I think we best really think of it that way. But your comment on the impact on accounts receivable of a switch from fully capitated to reconciliation contracts is largely true, given that reconciliation contracts we are paid after we provide the services and we know where utilization ended up for the month.
Robert Labick: Got it. And then the growth in LogistiCare, is that going to be also within the existing accounts or you're expecting to win a number of other accounts or do you, are you kind of budgeting in ancillary product growth, for lack of a better term, or how are you thinking about the growth for the next three years?
David Shackelton: We're not really modeling in too much ancillary product growth in what we communicate to everybody. Mostly it’s both sort of existing and new labels as well. So I don’t think we're comfortable putting out a number in terms of how many new labels when we had a number of new MCO contracts this past year. And when you see states like Iowa splitting up into bunch of MCOs, the contracts will be smaller on the smaller end but certainly the number of them coming in is certainly attractive to us. So if I had to guess, I mean, the growth could be sort of half-and-half maybe in terms of new product, new customers and existing contracts, but I mean that could barely buy 25% on either side depending on the year.
Robert Labick: Got it and then if there were any tuck-in’s with ancillary products that would be in addition to what you're discussing in these budgeted numbers or these three-year CAGRs?
David Shackelton: Exactly.
Robert Labick: Okay. Great, alright, thank you very much.
Operator: The next question comes from the line of Mike Petusky from Barrington Research. Your line is now open.
Michael Petusky: Good morning. You guys had characterized yourselves as the under-levered or viewing yourselves as under-levered earlier. I guess what are your priorities in terms of if you would be willing to rank on priorities in terms of capital allocation going forward?
James M. Lindstrom: Sure. Well, with any areas of capital deployment we have sort of a spectrum and I think we had in our Analyst Day, I think we had a slide which basically laid out the different options of deploying capital from share repurchases to targeted CAPEX which we analyze pretty closely within our verticals to vertical tuck-ins or acquisitions to sort of new verticals. And I think along that spectrum we expect different rates of return, because of the different risk profiles. So obviously we feel like we know ourselves better than any through a large acquisition or vertical that we would look at. So we have a little bit lower risk profile when we look at buying back shares and so that’s obviously up on our list. Also targeted CAPEX certainly within in LogistiCare and Matrix where not only can we get a pretty good handle on ROIs pretty quickly but the scalability of those CAPEX programs particularly like in LogistiCare can be pretty powerful across 24 centers. And then we’d love to find more vertical tuck-ins and so we over the last year we looked at stuff in the sort of $2 million to $15 million EBITDA range. So, we moving after one fairly hard in Q4 that was on the upper end of that range but obviously didn’t get it and that would have fit in nicely and had some overlap with both our CareDirect offering and LogistiCare's MCO and Medicaid relationships. So, in terms of the new vertical we’re fairly opportunistic there and so we haven't spend a lot of time on anything since I've been here. Some stuff has crossed dust [ph] but it is kind of hard to imagine doing anything too soon particularly with sort of the growth profile over 2016 and we think it is simplifying story which will become a lot more transparent to investors. So, I just can’t imagine doing a new vertical soon. Does that help?
Michael Petusky: Yes, it helps a lot. Just on the CAPEX, obviously a fair amount of growth CAPEX this year would you envision that the growth CAPEX would continue to be somewhat elevated over the next couple of years or you’re going to be able to do most of what you want to do in terms of IT and other things in 2016?
David Shackelton: I think we have fairly good clarity in Matrix that, that should be coming down outside of -- through a large new programs which might pop up which is always possible. LogistiCare, our CIO and COO are fairly new so on one hand I could see that coming down but if they discover new items with quick paybacks we obviously won't hesitate from pursuing those. But I think in general over the next couple of years we should gradually decline to more of a maintenance CAPEX level. And within Ingeus, they are really focused on execution of existing contracts to the tier of a few small new ones we think. And so outside of any new larger contracts, we certainly think that CAPEX will come down dramatically there, if there is a new work program which we obviously expect and hope that we are successful on winning for next year that there can be some CAPEX related to that. So in general next two to three years I think we should get down to closer to the $20 million level.
Michael Petusky: Okay, fantastic and just a couple of clarifications. I just want to absolutely make sure I understand on the workforce development margin commentary for 2016, essentially what you’re saying is negative margins Q1 but for the full year mid single-digits which would imply that the third or fourth quarter should be probably north of mid single-digits, is that a fair translation I guess of what you said?
David Shackelton: Yes that’s correct.
Michael Petusky: Okay, fantastic. Thanks guys, good quarter.
James M. Lindstrom: Thank you.
Operator: And our next question comes from the line of Mitra Ramgopal from Sidoti. Your line is now open.
Mitra Ramgopal: Yes hi, good morning. Just had a few questions on the LogistiCare business. I know you are limited in what you can say regarding South Carolina but given the anticipated loss there and I know you are bidding in New Jersey, etc. are you seeing any real change in the competitive landscape or is it pretty much same players?
James M. Lindstrom: No, we’re not seeing any change in the landscape.
Mitra Ramgopal: Okay and –
James M. Lindstrom: New Jersey.
Mitra Ramgopal: Okay, thanks. David I know you said in terms of the forecast for revenue in this segment 5% to 7% is pretty reasonable. How much of that are you really getting from Medicaid expansions versus just growth from the underlying business?
David Shackelton: So we're not embedding a lot of additional Medicaid expansion in those numbers.
Mitra Ramgopal: Okay, thanks. And regarding I don’t know if you could shed some light in terms of your exposure to the State of Illinois, the one thing I've been hearing a number of their Medicaid vendors are just not getting paid because of the budgetary issues there that the state’s going through right now. Is that an issue for you as you look at in terms of your ARs?
David Shackelton: It’s not. I mean Illinois is a kind of mid-tier contract size for us and we haven’t experienced any collection issues with Illinois.
Mitra Ramgopal: Okay, thanks. And then quickly on the WD business again; obviously you got the new offender rehab program to help offset some of the declines you're seeing in your main program but are there any other potential opportunities for you out there that you feel comfortable talking about over the next 12, 24 months?
James M. Lindstrom: Yes, I mean, we have a pretty good pipeline of a lot of smaller employment service contracts that are very similar to the work program in areas of UK that are not covered by the work program. So that’s one opportunity. And then we also see smaller opportunities around health as well where we're partnering up like we do in the RRP program, where we have sort of the delivery model, a scalable delivery model. And we're partnering up with non-profits or other providers who have the specific expertise of certain health areas. In terms of larger programs really, I mean the biggest one out there is the next version of the work program.
Mitra Ramgopal: Okay. And then finally I guess a real big picture question; I mean as you look back in terms of the workforce development business, obviously Ingeus is almost two years coming up since that acquisition was made. As you look at where this business stands for you right now, would you say it’s pretty much where you expected it to be or has there been some disappointment in that being for example more profitable than where it stands today?
James M. Lindstrom: Yes, I tried to – first of all we have a lot of new, I guess, people in the room. Myself and David weren’t there at the time and Jack was there at the time although he wasn’t CEO. So, with that being said we did spend time this winter going back and looking at the original assumptions. We obviously started a program of going back and looking at the original assumptions on some of the larger contracts and see where we did better and where we did worse. I think we really have to look at it by sort of pockets, so UK which is the biggest component of Ingeus, I’d say it largely has met expectations, when we look at sort of the how its tracked. Mission Providence, I think we've communicated is behind sort of the initial bidding estimates. So that’s one area where I -– we are little behind the investment pieces. And then the other countries I think are mixed. We have some countries where we're doing quite well; France, Saudi Arabia, continues to do well. South Korea does great. Germany, Switzerland very dependable. But obviously a country like -- and the U.S. as well and Canada are doing well. I think countries like Sweden unfortunately, that is an area that we did have to exit. So overall I think it’s certainly been lumpy and noisy and hard to really communicate, but that’s one of the reasons why we mentioned what we paid for the businesses and if you notice that in my talk we do remind ourselves that we did pay just under $100 million and Matrix we have paid $400 million. So, you would expect there to be some different challenges, different level of challenge and risk because of what was paid. So, overall I think it is maybe a little bit behind but I think as we look at sort of the range of potential IRRs over the next couple of years and I think what has always been said is this is a multiyear sort of business in terms of looking at it and evaluating it. I think we are still within sort of the window of what is acceptable.
Mitra Ramgopal: That was very helpful. Thanks again for taking the questions.
James M. Lindstrom: Great, well thank you Mitra. I think that we are running out of time but again thank you for your support. David and I and the team are here today and over the next few days to spend time with anybody who didn’t get a question in. And thanks again and we will talk to you over the -- at the Q1 conference call, so thank you. Have a great day.
David Shackelton: Thank you.
Operator: Ladies and gentlemen thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.